Operator: Good morning, and welcome to the Janus International Second Quarter 2024 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Sara Macioch, Senior Director of Investor Relations. Please go ahead.
Sara Macioch: Thank you, operator, and thank you all for joining our earnings conference call. I’m joined today by our Chief Executive Officer, Ramey Jackson; and our Chief Financial Officer, Anselm Wong. We hope that you have seen our earnings release issued this morning. We have also posted a presentation in support of this call, which can be found in the Investors section of our website at janusintl.com. Before we begin, I would like to remind you that today’s call may include forward-looking statements. Any statements made describing our beliefs, goals, plans, strategies, expectations, projections, forecasts and assumptions are forward-looking statements. The company’s actual results may differ from those anticipated by such forward-looking statements for a variety of reasons, many of which are beyond our control. Please see our recent filings with the Securities and Exchange Commission, which identify the principal risks and uncertainties that could affect our business, prospects and future results. We assume no obligation to update publicly any forward-looking statements, and any forward-looking statements made by us during this call is based only on information currently available to us and speaks only as of the date when it is made. In addition, we will be discussing or providing certain non-GAAP financial measures today, including adjusted EBITDA, adjusted EBITDA margin, adjusted net income and adjusted EPS. Please see our release and filings for a reconciliation of these non-GAAP measures to their most directly comparable GAAP measure. On today’s call, Ramey will provide an overview of our business. Anselm will continue with a discussion of our financial results and 2024 guidance before Ramey shares some closing thoughts, and we open up the call for your questions. At this point, I will turn the call over to Ramey.
Ramey Jackson: Thank you, Sara. Good morning, everyone, and thank you for joining us. As I go through my prepared remarks, I’d like you to focus on some key themes. First, Janus is demonstrating resilience during a dynamic time in our end markets. Second, looking beyond the current headwinds, we believe the long-term fundamentals in each of our sales channels remain intact. And finally, our financial results, balance sheet strength and reliable cash generation reflect the durability of our business model and continued strong execution by our team. During the second quarter, we encountered more cautious environment in our end markets as a number of factors combined to impact demand from our customers. Concerns around higher-for-longer interest rate environment resulted in some temporary deferrals of projects until the outlook is clear. Self-storage is a long-term business, and our customers are continuing to invest in the long-term future of their assets while keeping a watchful eye on broader market trends. We bolstered our offerings in the commercial market during the quarter through organic investment and M&A in an exciting adjacent category. Working with our customers to better align our structure with their needs, during the quarter, we opened a distribution center in Mount Airy, North Carolina, allowing us to stock on site and fill orders in a timelier fashion. We expect to see benefits from this beginning in the third quarter. On the M&A front, in May, we acquired Terminal Maintenance and Construction, or TMC, a Premier Provider of Terminal Maintenance Services for LTL freight industry in the Southeastern United States. TMC will focus on commercial customers where they provide trucking terminal renovation, remodeling and maintenance services. Over time, we expect to unlock further value by integrating their capabilities to support growth of our Facilitate division, which provides complete facility maintenance services for self-storage. The integration of TMC is on track, and we are pleased with the contribution they made during the quarter. On a broader note, adding capabilities in adjacent categories complements our core sales channels and increases our total addressable market. We believe that our strong track record of delivering on synergy targets and executing smart M&A transactions has positioned us to deliver growth and increases in profitability. Now, let me give you some high-level thoughts on our performance in the second quarter. As always, everything we do at Janus is a team effort, and I’d like to thank our employees for their continued hard work, dedication and professionalism they show every day. We delivered financial results in the second quarter that reflected continued growth in our New Construction sales channel that was more than offset by softness in both the R3 and Commercial and Other sales channels. Those results included continued solid adjusted EBITDA margin performance and a continuation of our robust cash generation despite a decrease in revenue. Our ability to effectively manage our margins speak to the inherent flexibility in our business model. Our balance sheet strength remains a differentiator, with net leverage at the end of the second quarter of 1.7 times, down 0.3 times year-over-year and below our stated long-term target range of 2 times to 3 times. Turning to the performance of our sales channels, which Anselm will expand upon shortly, for the second quarter of 2024. Total self-storage revenue was down 6.2% as strength in New Construction was more than offset by weakness in R3 compared to the prior year period. This is a continuation of a trend over the last several quarters that has favored investment in self-storage capacity via greenfield sites. As we have discussed previously, there has been a return to normal levels of retail to storage conversion activity as compared to the high water marks we saw during the pandemic, which was the primary driver of the decline in R3. This quarter, we also saw impacts from tighter lending standards and elevated interest rates, causing operators to delay R3 work until economic conditions improve. Our Commercial and Other sales channel was down 12.5% in the second quarter compared to the year ago period. The results reflect the general market softness and a continued decline in demand for carports and sheds, which had risen to represent a substantial portion of the sales channel during the pandemic. Despite the year-over-year top line decline, we’re excited about the addition of TMC in the quarter. Our opportunities across the broader commercial space and the potential we see to improve margins over time. On a consolidated basis, overall second quarter revenue impacts were driven roughly equally by price and volume. Nokē, our innovative suite of remote access solutions, had another strong quarter, during which we increased the number of installed units to 323,000 from 300,000 at the end of the first quarter, representing a sequential growth of 7.6%. In April, we announced the addition of Nokē Ion to our Nokē Smart Entry product lineup. Ion, an inside the door, magnetic hardwired smart locking system, represents the next step in the expansion of capabilities of Nokē to drive accelerating adoption across our customers’ portfolios. Beta testing is underway, and we are already seeing interest from customers. We expect Ion to be available for sale at the end of the third quarter with installations and corresponding revenue impacts beginning in the fourth quarter. We continue to innovate our offerings in partnership with customers to better serve their needs. One of these needs is combating theft, which is becoming an important issue for the industry in select markets. In July, we announced the NS Series, which includes two new roll-up door solutions engineered to provide a heightened level of safety and security for self-storage facilities. The NS Series incorporates an enhanced design that includes anchored guides to the floor, ensuring stability and durability; a robust lower bar equipped with secure clips that smoothly glide within the guides, combines with firmly anchored support angles on the floor to provide elevated strength and support. The NS Series includes the NS+ Door and the NS Retro Kit. The NS+ Door is ideal for both replacements as well as new construction. The NS Retro Kit is not a door but a package that can be installed on existing Janus doors. Our combination of strong liquidity and continued robust cash generation put us in a position to be active in our capital allocation activities during the quarter, including an acquisition in an adjacent market, share repurchases and proactive management of our balance sheet. In summary, despite some challenges, we remain encouraged by the fundamentals that we expect to drive long-term growth for our company. We are focused on things that we can control, safely and reliably delivering services and solutions for our customers. We look forward to working to expand our strong market position and create long-term value for all of our stakeholders in 2024 and beyond. With that, I’ll turn the call over to Anselm for a further overview of our results, along with updates to our 2024 guidance. Anselm?
Anselm Wong: Thanks, Ramey, and good morning, everyone. As Ramey stated, we are executing against a more muted landscape, focusing on what is within our control to better position Janus to succeed through all market cycles. Now, let me dive deeper into the numbers. In the second quarter, consolidated revenue of $248.4 million was 8.2% lower as compared to the prior year quarter, with strength in New Construction more than offset by declines in R3 in Commercial and Other. Together, our self-storage business was down 6.2%. New Construction continued its momentum with growth in the quarter of 7.3% as customers continue to add new greenfield capacity. R3 was off 23.5% for the quarter, driven by continued declines in retail-to-storage conversion activity as well as slowdowns in redevelopment and renovation activity. As the quarter progressed, we saw impacts from our customers delaying projects in both New Construction and R3 due to uncertainty around the sustained challenging interest rate environment. While we haven’t seen a material increase in cancellations, we expect the slower activity is likely to persist into the second half of the year. Touching on the price and volume split for the quarter, which, as Ramey mentioned, was roughly 50-50 this quarter. As we have told you before, our commercial actions are meant to reflect the premium solutions we offer, while always being mindful of defending or expanding our market share. The price component of the impact on revenues reflected our proactive efforts [indiscernible] that market share. Looking forward, we have the capabilities and intend to manage the margin impacts from future commercial actions as they are implemented. It’s important to also note that input costs are down compared to the year ago level. Given a roughly six-month lag, we expect the benefits of these lower costs to be reflected in the results starting in the early 2025, helping to offset the impact of commercial actions. Our Commercial and Other segments saw a 12.4% decline in the second quarter driven by overall market softness and continued weakness in demand for carports and shed. Second quarter adjusted EBITDA of $64.5 million was down 12.8% compared to the year ago quarter. This resulted in an adjusted EBITDA margin of 26%, off 130 basis points from the prior year period. The year-over-year decrease in adjusted EBITDA margin is primarily due to lower revenues as well as sales channel mix and increased operating expenses. For the second quarter, we produced adjusted income of $30.1 million, an 18.9% year-over-year decline and adjusted diluted earnings per share of $0.21. We generated cash from operating activities of $31 million, continuing to demonstrate the robust cash generation profile of the business. Capital expenditures for the quarter were $5.7 million, up from $3.5 million in the second quarter of 2023. Our free cash flow profile reflects the resilience of our business. For the second quarter, we generated free cash flow of $25.3 million. On a trailing 12-month basis, this represented a free cash flow conversion of adjusted net income of 116%. We finished the quarter with $234.7 million of total liquidity, including $110.1 million of cash and equivalents on the balance sheet. Our total outstanding long-term debt at quarter end was $600 million, and our net leverage was 1.7 times. In April, Moody’s upgraded our credit rating to Ba3 from B1 and revised our outlook to positive. During the quarter, we again executed against our $100 million share repurchase program and addressed our long-term debt. Year-to-date, we have repurchased 1.8 million shares for $25.4 million, prepaid $21.9 million of our first lien term loan and repriced our first lien term loan. Now moving to our 2024 guidance. We expect the rest of 2024 to be challenged for both volume and price, consistent with what we saw in the second quarter with Self-Storage results likely to remain weighted more favorably towards New Construction activity versus R3. In Commercial and Other, we expect a return to growth will now be pushed into 2025 compared to our previous expectation of latter half recovery. Based on our results for the first half of the year, increased macro uncertainty, concerns around interest rates and our current visibility into our end markets, we are adjusting our full year 2024 guidance for revenues and adjusted EBITDA as follows. We now expect revenue to be in the range of $1.005 billion to $1.035 billion compared to $1.092 billion to $1.125 billion previously. At the midpoint, this represents a decline of approximately 4.3% versus 2023. We anticipate adjusted EBITDA to be in the range of $255 million to $275 million compared to $286 million to $310 million previously. That is roughly a 7.2% decline at the midpoint relative to the prior year. This equates to an adjusted EBITDA margin at the midpoint of 26% for 2024. The strength in our margin outlook despite the decline in revenues highlights the resilience of our business model and our ability to adapt to market volatility. We have the flexibility to react quickly when fundamental shift, and our scale means we are well positioned to manage our largest cost inputs. So far in the third quarter, we are seeing a continuation of trends that began during second quarter, with some softness in demand and project delays persisting. We also experienced weather outages at our Houston facility due to Hurricane Beryl. While we are adjusting the outlook for 2024 down from our original guidance, our long-term framework remains in place. As a reminder, that long-term outlook does not contemplate any impact from commercial actions. Thank you. I will now turn the call over to Ramey for his closing remarks. Ramey?
Ramey Jackson: Thank you again, Anselm. The hard work we have done and the momentum we have built are allowing us to face current challenges while executing against our capital allocation goals on multiple fronts, including the TMC acquisition, debt repricing and share repurchases in the quarter. Our long-term objectives remain intact. We are laser-focused on delivering strong margins and another year of solid cash flow generation. We intend to continue expanding our differentiated suite of offerings and capabilities, helping to cement our position as the industry leader in self-storage solutions. Our balance sheet and expertise put us in a position to seek out and deliver accretive shareholder value-enhancing opportunities. I look forward to continuing to execute our plan as we work to drive long-term value creation for all of our stakeholders. Thank you again for joining us. Operator, we can now open up the lines for Q&A, please.
Operator: [Operator Instructions] The first question comes from Daniel Moore with CJS Securities. Please go ahead.
Daniel Moore: Thank you. Good morning, Ramey. Good morning, Anselm.
Ramey Jackson: Good morning, Daniel.
Daniel Moore: Maybe start with the – obviously, the decline in Self-Storage revenue was a bit surprising, more specifically R3 in relation to your typical visibility. So just talk about what you’re hearing from customers. You mentioned you’re not seeing material cancellations but more push-outs. What are they looking or waiting for specifically before moving forward on these projects?
Ramey Jackson: Yes. I think when we look at new construction, we’re still seeing growth there. There’s over 7% kind of growth in Q2. What we’re seeing is customer’s kind of hit pause around interest rates around the broader macro. On the R3 side, it’s a continuation of the conversions and expansions. I think when you look at – when you strip that out and look at truly conventional kind of remix, refurbishment, that’s relatively flat. It’s still active. And then on the commercial side, it’s, again, a continuation of the carport and shed sector of that business that we anticipate a little bit of growth this year, and that’s been pushed out to kind of early 2025.
Daniel Moore: Got it. And in R3, are we now back to more normal levels, sort of pre-pandemic? Or do you see more correction likely? And how do we think about kind of where backlogs are today overall versus maybe six or 12 months ago?
Ramey Jackson: Yes, the backlogs remained healthy. Projects are just in the backlog a little bit longer, and I think that’s a testament to the uncertainty around the macro. And I still think there’s softness in R3 because of the kind of the pandemic highs around the conversion. So again, strip those out and it’s relatively back to normal, kind of normalization on the refurbishment, remixes. We still think there’s great opportunity as it relates to some of the acquisitions that were made this past year. But again, just a pause in the market due to interest rates and the Presidential election and things of that nature, that’s what our customers are telling us.
Daniel Moore: Okay. And extending that out, a crystal ball kind of question, but maybe talk to your visibility and the outlook as we think about fiscal 2025, your expectations for growth in Self-Storage as well as commercial and what gives you confidence given kind of increasing economic uncertainty and some of the recent declines in capital spend that we’ve seen from the REITs?
Anselm Wong: Yes. Thanks, Dan. I think what we’re seeing at this point is like, to Ramey’s point, the higher interest rates have really just pushed out a lot of projects. I think there – our customers that we’ve always talked about the smaller guys get impacted and now it’s that midsized guy pushing out until we see some movement there. And I think with all the market trend indicating that it could be a drop. They’re just waiting to say, hey, look, I can save that 0.5 point, if I push it out a couple of months here. I think as we go into 2025, the market has become more competitive from just pricing than steel price. So if you think about steel, we talked about it last quarter, steel was holding down from the high 1,100 pound down to, call it, the 800 to 850. If you look at that equal to price today, it’s down to 650. So there’s a bit of pressure there that in terms of pricing. So we – unless that really changes, we expect that to go into next year. While the good thing is that, as you guys know how we buy steel and our profile, that five- to six-month lag time, our goal is to kind of match that with any commercial actions we take so that we maintain the margin. That’s what you’ve seen us do. Even despite the volume drop here, we’ve been able to manage our costs to get that margin in that range.
Daniel Moore: So it sounds like pricing could be a headwind for next year, but more solid, and you expect at least some offset in terms of volumes?
Anselm Wong: Yes. I think as the market returns to what we say a bit normal from the interest rate side, we should see that start freeing up some of the project delays we’ve seen.
Daniel Moore: Okay. And just talk a little bit about TMC in terms of strategic fit of the business. Is that a platform for additional acquisitions? And looking at the cash flow statement, it looks like you paid about $60 million. Is that right? And just talk about kind of run rate revenue, EBITDA and what accretion could look like when we get out to fiscal 2025? Thanks again.
Ramey Jackson: Yes. Thanks. Great question. Look that was a bright spot M&A acquisition for us, totally market. These guys are leaders in the Southeast and kind of terminal maintenance refurbishment, very similar to our R3 work. We feel like they have a playbook that we can replicate on the Facilitate side. Very fragmented market. There is certainly a lot of room for kind of additional roll-up that we’re looking at right now. Strong leadership group, strong margins, a lot of blue sky with that business. And Anselm, if you want to talk about some of the financial metrics?
Anselm Wong: Yes. I think, Dan, if you look at the revenue, obviously, is a partial quarter for that buddy thing is in line with kind of what we thought. It is the price point you said is about what we paid in that $60 million range they saw. Excited about the margin. I think the one thing that we were really scrutinizing about this acquisition was the strategic side of it to make sure that, hey, we could buy something that could help our Facilitate business grow. But at the same time, as we delve into the diligence, the margins, the growth opportunities were really strong and good there. EBITDA margin is similar to what we’ve seen on the storage side. So we’re excited about adding this business and hopefully do a roll-up strategy at the group side.
Daniel Moore: All right. I’ll jump out and thank you again.
Ramey Jackson: Thank you, Daniel.
Operator: The next question comes from Reuben Garner with The Benchmark Company. Please go ahead.
Reuben Garner: Thank you. Good morning, everybody.
Ramey Jackson: Good morning, Reuben.
Anselm Wong: Good morning, Reuben.
Reuben Garner: Were you, I know you didn’t have the R3 business in the last kind of downturn, but were you surprised at all to see how kind of abruptly that seemed to slow? And I guess can you talk to us about how backlog works? I understand there’s delays, but backlog still looks solid. Like what – how – could those projects still be canceled in backlog? Are there any kind of penalties in place if they are? Just kind of walk us through how that looks at things get worse than you kind of anticipated?
Ramey Jackson: Yes. Great question. Look, during the last, I guess, the GFC, we did not have the R3 division. That’s kind of what – that was the genesis of it with one of our partners. And I think the really, the theme here is when you look at true R3, the remix, renovation, that’s hanging in there. It’s really the expansions and conversions that really have taken the hit and that were pandemic darlings. That’s what you’re seeing kind of burn off. We’re still very optimistic. We’re hearing some good things from a planning perspective and some of the data we have internally on the drawing side for that R3 sector, but the conversions and expansions have to roll off from pandemic highs. In terms of visibility, we’re still very confident in the long-term framework of the business. The backlog is healthy. It’s slowed a little bit due to, like Anselm mentioned, some weather-related items in the quarter and then also uncertainty around the interest rates. Are we going to get some interest rate cuts in months to come? I think that’s what our customers are waiting on. But long-term, Reuben, we’re very confident. We’re going to use our balance sheet to be creative around M&A and share buybacks and paying down debt. We’ll be opportunistic there. We’re just in a lull right now in terms of the R3 kind of projects and the velocity in which New Construction typically cycles through the backlog.
Reuben Garner: And just to be clear, Ramey, are the delays – are these projects that New Construction and expansion projects that are just stopping mid job? Or are they jobs that were delayed – the start was delayed months ago, and you’re just now getting insight into it. Can you talk about that?
Ramey Jackson: It’s a little – it’s more of the latter. There are certainly some projects that are midstream that have been put on hold. Particularly, I’ll kind of point to the West Coast. There’s a big portfolio on that side of the country that’s in that situation. But the lion’s share of it is really just new starts hitting pause. Is there a risk in cancellations? There’s always a risk. We’re not seeing that today, which gives us confidence that these projects will move forward. So that’s where we are.
Reuben Garner: Okay. And I’m going to sneak one more in. Are there any particular customers? I know you’re more exposed to the smaller players now than you have been in the past. Is it size of the customer geography? You mentioned the West Coast, anything else that you call out?
Ramey Jackson: No. I think Anselm mentioned it. It’s the layer below the public REITs, which we consider institutional. They’re being impacted by financing, restriction guidelines and obviously, interest rates. So we said last quarter or past two quarters, it was kind of the smaller mom and pop. It’s kind of crept up into the more larger players that we consider institutional. I mean I think when you look at the REITs, their status quo, they recently reported, and you look at the kind of occupancy rates and you’re looking at like 94%, 92%, which is very healthy. So I think the market remains strong. Self-storage is resilient. We just need to get past some of this uncertainty around interest rates.
Reuben Garner: Got it. Sorry I missed that. That’s really helpful. Thank you. Good luck, guys.
Ramey Jackson: Thanks, Reuben.
Anselm Wong: Thanks, Reuben.
Operator: The next question comes from Phil Ng with Jefferies. Please go ahead.
Phil Ng: Hey guys. Sales were down about 8% in 2Q, and I think implicitly, your second half guide implies organic sales down in similar levels. So that doesn’t seem crazy just giving comps to get a little easier. So, I’m just trying to get a gauge, how did orders and sales progress intra-quarter and trend into July? Have you started seeing that pricing dynamic you called out stabilize? Or there is still actually some risk to the downside here? And then you called out weather as well. So when we think about the sales cadence declines in the back half, will 3Q be harder hit versus fourth quarter?
Anselm Wong: Yes, a lot of things there. So thanks. So I’ll try and get all of them. So our Houston factory was shut down for a week with the hurricane out there. So that would impact the July numbers that we saw. Outside of that trend, obviously, that will have a bigger impact in Q3. That’s why the way we’re looking at it is that, hey, that’s a weather-related thing that we said does impact us, and that’s going to impact the numbers there. In terms of your earlier question about the pricing, what we’re talking about, if you look at this quarter, pricing was about half of the decline that we’ve done. That was just being competitive here and there. I think what we’re referring to is just a longer-term trend is that steel is staying at this lower point. And honestly, you think about the variance going from $1,100 a pound [ph] down to $650. That’s a meaningful drop. So the way we’ve always managed – and Ramey’s done a great job of being competitive, we manage how much we give back, but we manage it with our cost so that we maintain our margins. So we’re just giving kind of an early look and say, hey, we see this coming going into 2025. That’s where majority of the impact of that price commercial adjustment will come in versus this year.
Phil Ng: So could pricing step down even more than that, call it, 4% run rate as steel prices flow through? Or that’s kind of a good guy?
Anselm Wong: Yes, for the balance of this year, it’s probably going to hold in that range because again, we’re bleeding [ph] off the backlog that has that kind of range already in there. The further commercial actions that we would take based on where the steel price is going or staying would be a 2025 impact.
Phil Ng: Okay. That’s helpful. R3 started to soften in the back half of last year. So you called out conversion still perhaps not fully flexed out. Ramey, give us a sense when do you expect that to be kind of flushed out to more normalized levels? And can you just give us some perspective like what percent of your business is more conversion versus remix?
Ramey Jackson: Yes. I’ll let Anselm speak to the actual metrics. That’s a tough question. There’s still conversions in the backlog. We continue to quote conversions just not at the levels that we have in the past year, year or two. So that’s a tough one, Phil. It feels like probably 2025 in terms of when that gets flushed out totally. But we’ll just have to monitor that. Again, the opportunity around some of the acquisitions that have happened in the aging facilities, there’s been a lot of new capacity put in the market, in markets with older facilities. So these operators are going to be forced to do something to compete with the new supply that’s coming online.
Anselm Wong: Yes. I think, Phil, just we don’t disclose kind of the split, but the conversion piece was, a sitting point, it’s down to – it’s still like Ramey said, there’s still a piece in there. I think there will always be a certain amount of just high level. You’re probably talking in R3 bucket. There’s probably less than quarter of it is conversions now where it was meaningful before.
Phil Ng: Okay. That’s helpful. Great color.
Operator: The next question comes from Jeff Hammond with KeyBanc. Please go ahead.
Jeff Hammond: Hey, good morning everyone.
Anselm Wong: Good morning, Jeff.
Jeff Hammond: I guess lost in some of the macro headwinds, is this Ion rollout, which you guys seem pretty excited about. Just talk about what’s new in that product, the feedback you’re getting in beta testing and how you think that maybe changes the growth trajectory for the Nokē business.
Ramey Jackson: Yes. Great question. Look, it’s certainly a bright spot. And I understand why it’s kind of being overlooked this quarter. But at the same time, we’re super excited. We’re getting customer feedback during beta, a lot of buildup on the sidelines waiting for – and customers have been waiting for a price point that makes sense to them. So essentially, what we’ve done is we’ve designed an inside-the-door wired solution that’s stripped down from – at its base case is stripped down from a lot of options. And if the customer wants to add options, they can certainly pay for it on the R&R side of it. But we feel like we’ve hit a sweet spot on the go-to-market pricing. It’s extremely stable. The beta that we’re doing right now. We’re learning a lot, getting a lot of good feedback. And like I said, have a growing book of business anticipating the release of that. So we couldn’t be more excited. The Nokē ONE solution and some of the other kind of IoT things are still doing great. You saw the growth that we had last quarter. So we’re excited about it, and that’s certainly a growth engine for the business, and you know the long-term impact that it can have to make this industrial company, industrial technology company once we get the penetration rates that we know that we deserve.
Jeff Hammond: Okay. And then TMC, I don’t know if I missed the revenue, or can you give us what the revenue contribution was this quarter? I guess, it was in there for...
Anselm Wong: Yes. It was about $4 million of revenue for the business. It’s what we expected is tracking there. So like Ramey said, we’re excited about it because again, we didn’t disclose the margin, but it’s similar to the storage EBITDA margins.
Jeff Hammond: Okay. And then last one back to – I think you said you’re excited about some of the consolidation in the space and what it holds for R3 opportunity, but it sounds like some of that’s been on hold. So what’s the feedback you’re getting around when they ultimately do some of that remix, remodel, rebrand?
Ramey Jackson: Yes. I won’t go into particulars in terms of the customer but – or customers. But yes, it’s active. It’s been slower coming out of the gate; I’ve always referenced that opportunity, a multiyear opportunity for us. Again, doing a lot of work in the background on the design side of it and feel good about that pulling through to revenue.
Jeff Hammond: Is it more of a pull-through into 2025? I mean do you have visibility that it starts to build momentum in 2025?
Ramey Jackson: I think that’s fair, Jeff. Yes, 2025 feels right.
Jeff Hammond: Okay. Thanks so much.
Ramey Jackson: Thank you.
Operator: The next question comes from John Lovallo with UBS. Please go ahead.
John Lovallo: Good morning guys. Thanks for taking my question. The first one is that the outlook for second half EBITDA margins of about 26%, that would be flattish versus the first half. I mean sales will be up slightly half over half. But what are some of the other puts and takes within that? I mean how are you thinking about price cost, channel mix and maybe G&A investment?
Anselm Wong: Yes. I think what we said in prior calls, the G&A side is – the first half is more on the year-over-year carryover cost. That’s why it was a big step up from prior year. I think the second half will be slower in that point of view because, again, you were lapping the adds that we did in the second half. So probably a little more in Q3 and then Q4 would probably be flattish from a year-over-year perspective in that range. There’s a little investment that we’ve done in the Nokē, as we’ve said, in terms of the back end some of the sales, people adds. In terms of the other margin pieces we’re seeing from a price point of view, we’re pursuing this similar to what we just saw in Q2 from a price versus volume mix probably in that range, could be a little bit on each side. But it’s probably in that range is probably a good way to think about the second half. And then the other thing is that – we didn’t talk about it much here, but commercial, the way we looked at it is that we’re just assuming, unfortunately, the similar trend for the back half of the year that we saw in Q2. It doesn’t – that overall market, while we are still like the long-term trends, at least the short term looks like it’s still staying in that negative year-over-year. We thought there would be some recovery in the back half. It’s just happening slower than we thought.
John Lovallo: Okay. Makes sense. And then you mentioned a couple of times how higher rates have been the headwind to the business, particularly for the R3, which makes sense. We have seen some pullback here with the 10-year below 3.95% [ph] at this point versus, call it, 4.50% [ph]as recently as July 1. I mean how long of a lag is there in a pullback in rates before you think you’d start seeing some of that impact in your business?
Anselm Wong: Yes, it’s hard to tell. I think what we know is the impact is when we talk to our customers, they’re specifically mentioning the rate has put some decisions to say, hey, put some of this on hold and trying to be – if I put myself in their shoes, if you look at it, makes sense, you got potential rate drop in probably September. So if you have the opportunity to delay something before you pull in your construction loans, you probably would do it to get that benefit.
John Lovallo: Got it. Thank you guys.
Ramey Jackson: Thanks, John.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Ramey Jackson for any closing remarks.
Ramey Jackson: Yes. Thank you, everyone, for joining us today. We appreciate your support of Janus and look forward to updating you on our progress. Have a great day.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.